Operator: Ladies and gentlemen, thank you for standing by, and welcome to the GoodRx Third Quarter 2025 Earnings Call. As a reminder, today's conference call is being recorded. I would now like to introduce your host for today's call, Aubrey Reynolds, Director of Investor Relations. Ms. Reynolds, you may begin.
Aubrey Reynolds: Thank you, operator. Good morning, everyone, and welcome to GoodRx's earnings conference call for the third quarter 2025. Joining me today are Wendy Barnes, our Chief Executive Officer; and Chris McGinnis, our Chief Financial Officer. Before we begin, I'd like to remind everyone that this call will contain forward-looking statements. All statements made on this call that do not relate to matters of historical facts should be considered forward-looking statements, including, without limitation, statements regarding management's plans, strategies, goals and objectives, our market opportunity, our anticipated financial performance, underlying trends in our business and industry, including ongoing changes in the pharmacy ecosystem, our value proposition, our long-term growth prospects, our direct and hybrid contracting approach, collaborations and partnerships with third parties, including our point-of-sale cash programs and our integrated savings program, our e-commerce strategy and our capital allocation priorities. These statements are neither promises nor guarantees but involve known and unknown risks, uncertainties and other important factors. These factors, including the factors discussed in the Risk Factors section of our annual report on Form 10-K for the year ended December 31, 2024, and other filings with the Securities and Exchange Commission could cause actual results, performance or achievements to differ materially from those expressed or implied by the forward-looking statements made on this call. Any such forward-looking statements represent management's estimates as of the date of this call, and we disclaim any obligation to update these statements even if subsequent events cause our views to change. In addition, we will be referencing certain non-GAAP metrics in today's remarks. We have reconciled each non-GAAP metric to the nearest GAAP metric in the company's earnings press release, which can be found on the Overview page of our Investor Relations website at investors.goodrx.com. I would also like to remind everyone that a replay of this call will become available there shortly as well. With that, I'll turn it over to Wendy.
Wendy Barnes: Thank you, Aubrey, and thank you to everyone for joining us today. Q3 was a strong quarter of focused execution and measurable progress across each of our key strategic priorities. Since our last earnings call, we expanded our access and affordability programs with leading pharmaceutical manufacturers, including with Novo Nordisk to deliver direct-to-consumer cash prices for Ozempic and Wegovy and with Amgen for Repatha, among others. We strengthened our partnership with one of the nation's largest grocery retailers launching our RxSmartSaver counter solution at Kroger pharmacies nationwide, and we continue to invest in the strength of the GoodRx brand, launching our new Savings Wrangler campaign to reinforce that GoodRx is the most trusted and recognizable name in prescription access and affordability. These initiatives demonstrate the strength of our platform and show how we're executing our strategy with speed, scale and purpose, delivering tangible value to consumers, pharmacies and manufacturers while positioning GoodRx for sustainable long-term growth. I'm incredibly proud of the progress our teams delivered this quarter and of the strong foundation we're building for continued momentum ahead. Before diving into business updates, I want to acknowledge the broader U.S. healthcare environment and how prescription drug pricing is undergoing a profound transformation. With the pending introduction of TrumpRx and the renewed focus on most favored nation or MFN pricing, the market is shifting decisively toward greater transparency and direct-to-consumer access. We view this evolution as both an opportunity and a clear validation of our mission. We are actively engaged with the administration and HHS helping to inform policy efforts that expand access and affordability for all Americans. The GoodRx platform is designed to deliver on many of the same goals driving these initiatives, providing transparent consumer-direct pricing for medications at scale. We enable consumers to fill their prescriptions at nearly all pharmacies nationwide, so they can continue to work with their trusted pharmacists to manage all of their prescribed medications or get their prescriptions shipped via home delivery partners. This is a significant differentiator. Many other affordability programs or new pricing initiatives are limited to select home delivery pharmacies, which can restrict access and slow adoption. With more than a decade of experience, deep relationships across the pharmacy ecosystem and proven operational capabilities, I believe GoodRx is uniquely positioned to lead the evolution of direct-to-consumer healthcare while also supporting the ambition of this administration. And while it's still early in the landscape continues to evolve, we believe these policy developments will ultimately be a long-term tailwind for GoodRx. As the market shifts towards greater price transparency and consumer direct models, we'll be positioned to bring even more D2C cash pricing to our platform, expanding choice, access and savings for millions of Americans. I also want to recognize the growing uncertainty around the future of health insurance coverage in the U.S. Changes to the Affordable Care Act marketplace subsidies and Medicaid support could lead to more Americans finding themselves uninsured or facing higher out-of-pocket costs. What is clear is that affordability will remain a pressing issue for millions of people. In this moment, GoodRx becomes even more essential and relevant to consumers and to the healthcare providers who are tasked with supporting their patients. Whether a patient is insured, underinsured or uninsured, we are here to help them access and afford the full range of prescriptions they need to stay healthy. Turning to our third quarter performance. We delivered solid financial results driven by disciplined execution. While we're pleased with our overall momentum, we have continued to navigate industry headwinds that have modestly impacted our results. The ongoing and now complete Rite Aid store closures reduced prescription volume across certain geographies. We are actively working to recapture displaced users, both through direct communications where available and in partnership with acquiring pharmacy retailers. But as we noted on the last call, this takes some time. As always, we remain focused on the long-term health and growth of the business and creating lasting value for our consumers, partners and shareholders alike. Now let's dive into key business updates. Starting with Pharma Manufacturer Solutions, which we'll refer to as Manufacturer Solutions, we delivered strong results during the third quarter with 54% year-over-year revenue growth. We continue to sell new brands and expand relationships with existing partners, reinforcing our position as the go-to partner for manufacturers seeking to improve access and affordability for patients. Our value proposition is clear. We deliver measurable results, proving strong ROI by helping manufacturers reach the right patients, drive adherence and remove barriers to treatment. This is why more brands are choosing to work with GoodRx and why our existing partners continue to deepen their investment with us. As I mentioned earlier on the call, we see potentially strong tailwinds from the policy environment for Manufacturer Solutions. 3Initiatives like TrumpRx and potential most favored nation mandates are causing the pharmaceutical landscape to shift in meaningful ways as manufacturers face growing momentum and pressure to bring direct-to-consumer or D2C affordability programs to market. Price transparency, brand access and patient affordability have become front and center priorities across the industry, and GoodRx continues to be uniquely positioned to be the solution that operationalizes these D2C strategies. We've already built the infrastructure, the partnerships and the trust to help manufacturers turn affordability commitments into reality. A clear example of this is the collaboration with Novo Nordisk we announced in Q3 to offer both Ozempic and Wegovy at $499 per month. GLP-1s are a drug class that we see continuing to grow and be divisive with insurers in terms of coverage. With most Americans still not having these drugs covered by insurance for weight loss, GoodRx has a tremendous opportunity to help. By leveraging the unmatched reach and scale of the trusted GoodRx platform, we can more effectively meet the growing demand for GLP-1s and deliver savings directly to patients who need them. We're incredibly excited about this partnership and look forward to expanding access to these savings through our subscription offering later this month. In October, we also announced a new partnership with Amgen to offer Repatha for nearly 60% off the retail pharmacy list price. Savings like this help patients overcome traditional insurance hurdles such as restrictive formularies and high deductibles that often delay or prevent treatment. This further demonstrates how GoodRx is pioneering direct-to-consumer solutions that give brands a trusted, scalable channel to deliver real savings directly to patients. To date, we have over 200 brand affordability programs on our platform, nearly 80 of which are cash prices. Looking ahead, we're investing further in our manufacturer solutions capabilities, expanding how we deliver a true end-to-end e-commerce model to the pharmaceutical industry. Today, we deliver affordability and access across channels, and we will continue to strengthen our ability to connect manufacturers not only with patients, but also with health care professionals who play an increasingly important role in driving awareness and adoption of these programs. We expect these investments to continue fueling growth into 2026 and beyond. Now turning to prescription marketplace. We continue to serve as a trusted ally to retail pharmacies, helping them improve profitability, reduce prescription abandonment and drive innovation in the prescription experience. As I've shared on past calls, we are focused on delivering this through pharmacy counter integrations, e-commerce experiences and direct contracting capabilities. I'm proud of the progress we have made against this strategic priority in 2025, having launched multiple initiatives that are helping pharmacies streamline workflows, improve consumer engagement, lower cost to fill and expand their digital presence. For example, our e-commerce experience for retail pharmacies allows consumers to check inventory, validate prescriptions and pay online before picking up in store, giving them greater convenience while helping pharmacies reduce the cost to fill and eliminate administrative hurdles, so there's more time to engage with patients. And we also launched CommunityLink, our new offering designed specifically for independent pharmacies, which offers a cost-plus pricing model that provides the retailer with predictable pricing and better economics. Since going live on July 1, we've been seeing positive momentum and are encouraged by the number of independent pharmacies that have directly contracted with us thus far. In addition to these retail initiatives, we announced a new counter solution, Rx Smart Saver powered by GoodRx. Rx Smart Saver is a turnkey ready-to-deploy solution that brings medication affordability directly to the pharmacy counter, improving the patient experience while delivering stronger economics for the retail partner. This solution is already being used by multiple retailers, including Kroger, who launched Rx Smart Saver at all of their pharmacies nationwide. This program gives their customers instant access to GoodRx savings when they are picking up their prescriptions, including co-pay cards and nearly 80 unique cash prices for brand medications that often aren't covered by insurance or have poor coverage. Patients simply use their smartphone to scan the code at the pharmacy counter, enter the Rx Smart Saver portal and then show the savings to the pharmacists during checkout to save on essential treatments. Each prescription filled strengthens the savings flywheel. Pharma manufacturers gain greater visibility for their affordability programs and are able to extend their direct-to-consumer channel efforts. Pharmacies improve profitability and deepen patient relationships by lowering out-of-pocket costs and consumers gain more affordable access to the medications they need. We look forward to rolling out counter savings programs with additional retailers in the fourth quarter. We also made progress expanding our subscription offering, launching GoodRx for hair loss. We're leveraging our e-commerce capabilities to create an integrated end-to-end digital experience that prioritizes affordability, convenience and trusted care. This offering provides men with clinically proven treatments that help slow hair loss and promote regrowth, all through a single seamless platform they can trust. We expect to launch our third subscription offering for weight loss in the coming weeks, combining our GLP-1 savings programs with our trusted GoodRx brand to deliver a convenient, low-cost solution. As we continue to expand the reach and impact of our brand across the industry, we also know how important it is to stay top of mind for consumers. Our new brand campaign, the Savings Wrangler, marks a pivotal moment in GoodRx's brand evolution, translating our mission into a bold, culturally resonant campaign. Building on our strong foundation of trust and credibility, the savings Wrangler taps into a familiar truth that navigating prescription prices can feel like the Wild West. This campaign is a scalable creative platform and long-term brand asset that we believe will help drive further growth, deepen consumer connection and reinforce GoodRx is the most trusted name in prescription savings. Since launch, we've seen that key marketing metrics such as unaided awareness and GoodRx search volume are up across the board. We've made meaningful progress this quarter, strengthening our partnerships with manufacturers and pharmacies, expanding access and affordability for consumers and continuing to build on our trusted brand. We're executing with discipline and intent, and we're well positioned to meet the growing demand for transparency, affordability and access across the health care landscape. We're also making good on our commitment to engage meaningfully in policy discussions that shape the future of drug pricing and patient access, ensuring GoodRx continues to be a trusted voice and strategic partner in advancing affordability solutions nationwide. I'm incredibly proud of what our teams have achieved and I am confident in the momentum we're carrying into the remainder of the year. I will now turn the call over to Chris to discuss third quarter results.
Christopher McGinnis: Thank you, Wendy, and good morning, everyone. For the third quarter, total revenue was $196 million, up approximately $1 million versus the prior year. Consistent with our expectations, prescription transaction revenue was down 9% versus the prior year. primarily driven by the impact of Rite Aid store closures, which are now complete and lower transaction volume in our integrated savings program with one of our PBM partners. These factors also drove the decline in monthly active consumers, an outcome we anticipated and discussed on our last earnings call. As our business continues to evolve, we are reassessing this metric as a primary indicator of performance to ensure it aligns with how we measure growth and profitability. Turning to Manufacturer Solutions. Revenue for the quarter was $43.4 million, representing growth of 54% compared to the prior year, reflecting strong execution and expansion across both new and existing brand partnerships. As we have previously discussed, Manufacturer Solutions has quarterly variability due to the nature of expected deal timing. And during the third quarter, we closed several deals that were initially projected for the fourth quarter. Therefore, we believe the trend across the first 9 months of the year, which is up approximately 35% year-over-year, is a more accurate indication of underlying momentum and our expectations for the full year. For the third quarter, adjusted EBITDA was $66.3 million, an increase of 2% versus the prior year, which constitutes an adjusted EBITDA margin of 33.8%. This marks an improvement of 50 basis points compared to the prior year and reflects our commitment to expanding margins through strong cost discipline and operational efficiency. Our balance sheet remains strong, ending the third quarter with $273.5 million of cash on hand with about $80 million of unused capacity available under our revolving credit facility. During the quarter, we repurchased approximately 13.4 million shares of our stock at an average price of $4.61 per share, totaling $61.6 million. At the end of the third quarter, approximately $81.4 million of capacity remained under our $450 million share repurchase program. Turning now to our outlook for the remainder of the year. We are leaving our revenue guidance unchanged as we continue to expect full year revenue above prior year or at least $792 million. Fourth quarter revenue is now expected to decline sequentially from the third quarter, reflecting the acceleration of manufacturer solutions deals that closed earlier than originally anticipated. Our full year adjusted EBITDA projections are also unchanged, which represent approximately 2% to 6% growth compared to 2024 with an adjusted EBITDA margin roughly in line with our year-to-date trend. Overall, we delivered a solid financial performance this quarter, underscored by our strength of our manufacturing solutions offering, which, as I stated previously, we now project approximately 35% revenue growth in 2025. Our leadership team remains committed to executing on strategic priorities and enhancing operational efficiency as demonstrated by the expected year-over-year increase in adjusted EBITDA. We believe our continued investment in these initiatives will drive sustainable, profitable growth while creating lasting value for consumers in the pharmacy ecosystem. With that, I will turn the call back over to Wendy.
Wendy Barnes: Thanks, Chris. As I approach my 1-year anniversary at GoodRx, I'm incredibly proud of how far we've come, and I'm even more excited about where we're headed. Q3 was a solid quarter that showcased the power of our strategy in action, deepening partnerships with pharmacies, expanding affordability solutions with manufacturers and strengthening the GoodRx brand with consumers nationwide. It also opened new opportunities for us to engage with the federal government as a key partner in the development of GoodRx, further reinforcing our role in advancing national affordability initiatives. Together, these efforts are building a more connected and sustainable health care ecosystem, one where consumers can access affordable medications, pharmacies can thrive and manufacturers can deliver real savings directly to patients. We're executing from a position of strength with a trusted brand, a differentiated platform and a business model built for this moment in health care. The national focus on affordability and direct-to-consumer access plays directly to our capabilities, and we're well positioned to lead as the market continues to evolve. As we look to the remainder of the year and into 2026, our priorities are clear: continue to expand partnerships across retail and pharma, accelerate digital and e-commerce innovation to simplify the consumer experience and invest in our brand and technology to deliver even greater value at scale. With consumers facing higher out-of-pocket costs and shrinking insurance benefits, we anticipate a renewed shift toward cash pay prescriptions. We view these dynamics, combined with growing pharma investment and direct-to-consumer engagement as supportive of our long-term growth opportunity. We have built a powerful trusted platform that we're continuing to leverage in new and meaningful ways, which should ultimately drive sustainable growth and long-term stakeholder value. Our mission has never been more relevant, and I'm deeply proud of our teams for the focus and innovation they bring to helping millions of Americans save time and money on their prescriptions. I will now turn the call over to the operator for questions.
Operator: [Operator Instructions] Our first question comes from Lisa Gill from JPMorgan Chase.
Christopher McGinnis: Operator, this is a company. We can't hear if Lisa is talking, we can't hear on our side. Shall we move on to the next?
Wendy Barnes: Sure. We'll come back to Lisa next if we can, if we can't get our audio to work.
Operator: Our next question comes from Michael Cherny from Leerink Partners.
Michael Cherny: Can you hear me?
Christopher McGinnis: We can. Mike.
Michael Cherny: Okay. Perfect. Congratulations, especially on the nice manufacturer solutions performance. Maybe if we can just start with PTR. I appreciate all the commentary that you had, Wendy, about the market and how the market is coming to the GoodRx model. Whether you've changed the metrics or not, how do you think about what a stabilizing PTR environment should look like? I'm not asking for '26 guidance, but more some of the dynamics about the continued shift towards more pricing transparency. How does that translate functionally into GoodRx's ability to win?
Christopher McGinnis: Yes. Michael, maybe I'll start and then let Wendy sort of come in on the back end. I mean, look, this '25 in some respects, has been a bit of a perfect storm against the cash market. I mean, specifically with respect to us, I mean, you got Rite Aid and ISP, which we talked about. But then the macro conditions really are around a couple of things. One, the change in the reimbursement models at retail. I mean, it had the unfortunate impact of just raising prices on the consumer. And when you couple that with what we're seeing out of the payers, which is high utilization, a good benefit profile this year. I mean, look, we've been clear that we believe we're a supplement to insurance and people -- everybody in America that's insured or not should come to us and check the cash price against other payer options. And we think people are going back on benefit in '25. So -- when we think about the trends going forward, the '26 trends, it's -- from a macro perspective, it looks like there will be a potential for a lot more people that are uninsured due to a variety of factors. Although the data suggests that the benefit profile won't be as good going into '26. I mean we look at the CMS premiums on the Part D side, up 33%, depending on what you believe around the subsidies and how this gets negotiated on the government shutdown. Out-of-pocket costs are estimated to be somewhere between 25% and 100% increases for those that are covered. So there are a lot of factors as we go into '26 that we think really sort of reversed course from '25 to '26 and put a tailwind at our back, around the number of scripts in the cash market itself. So -- and I think we're well positioned to win more than our fair share of the market as it returns to an expanding market.
Wendy Barnes: Michael, it's Wendy. I would just add, in addition to the trends that Chris called out that to reaffirm, we do believe should be tailwinds. We're then also focused on a strategic priority that you've heard us talk about a couple of times in truly owning that pharmacy counter and that consumer journey. And the more retailers that we partner with in that capacity then also allow us to capture more when the consumer is actually standing at that counter. So you combine both what we believe should be an expansion of Cash RXs in 2026 with a greater presence at that counter, and we do believe that helps us reverse this trend, if you will, that we're seeing in '25. But I would also be remiss without pointing out we do believe that overall, for us as a company, we are going to see a greater proportion of our revenue be attributed to manufacturer solutions. I think that is a fair observation and one actually that we are focused on. We think that is the right direction for us as a company. But I wouldn't say that it's going to come at the expense of our core growth. It's just simply going to become a larger component of our overall revenue mix.
Michael Cherny: That's helpful. And maybe just sticking on manufacturer solutions. You have a number of companies that you compete against. Obviously, different companies have different definitions of what they do for manufacturer solutions. As you think about your strategic positioning, where do you feel like you have the best opportunity to win against various different peers from here?
Wendy Barnes: That's a good question. I mean I will say, to your point, there are a lot of different ways in which competitors play with manufacturers. I think I would start with the just broad affordability program definition, which is when manufacturers are thinking about conveying a cash price at point of sale, we have the #1 digital prescription marketplace for pricing. Therefore, they know that in partnering with us through us on our site, embedded in whatever fashion they determine to do so, they're automatically getting connected to the largest set of eyeballs where Americans are coming to check their pricing. So that for me is kind of thing one from a competitive advantage. I think part 2 is we've now demonstrated over multiple years in our manufacturer solutions business that we are delivering an outsized ROI to these manufacturers. And so as a result, they're seeing the new Rx, the refills, they're seeing the connectivity to the HCPs that are prescribing their medications. Again, we also know we are the #1 utilized drug marketplace by prescribers as well. You combine those 2 things, and I believe that is where we candidly have a distinct advantage against competitors.
Operator: Our next question comes from Daniel Grosslight from Citi.
Daniel Grosslight: There's been a lot of chatter about PBMs moving from the traditional rebate model to offering lower prices at the point of sale, which actually seems to have some legs now given Cigna's recent announcement. So Wendy, Chris, you both have deep experience at PBMs. I'd love just to get your thoughts on the evolution of the PBM model, potential employer receptivity to that shift in rebates to point-of-sale discounts and how this impacts your strategy going forward?
Wendy Barnes: Yes, I appreciate the question. Look, I think it's a combination of meeting the moment, if you will. Clearly, there's a lot of regulatory pressure on payers to contemplate a clear model at point of sale. But candidly, they've had the opportunity to convey this type of pricing for some time. And we, of course, have been integrated with the top PBMs through our integrated savings program for some time as well, giving them the ability to compare cash to funded price. Be that as it may, the notion of pushing rebate to the point-of-sale discount, if you will, candidly, it's nothing new. We actually applaud it. I mean if it's going to underscore more affordability for Americans at the counter, we are all in. And given how we already partner with the top payers, particularly the one that you mentioned in your question, we largely are that cash engine behind how they're providing that comparative pricing. So we feel like we're well positioned to take advantage as more payers embrace what I would call a more open aperture of what already exists. And whether or not they're doing that based upon regulatory pressure or pressure from their clients, we're somewhat indifferent because we think it's the right answer to be able to have cash always present at the point of sale. I think Chris mentioned it in his opening question, we view ourselves as a complement to insurance. It should really always be an and, not an or, and this just puts more in the wind column for that and in my view. Chris, is there anything you'd add?
Christopher McGinnis: Yes. I would start by just echoing that I applaud them for doing it. This is a challenging thing for them to do, a bold move, but I think it ultimately at the end of the day, the right move. It shows that they're listening to not only the administration, but others in the ecosystem. And so when I saw the press release, I think about ISP and the original sort of strategic intent behind that program was to sit inside a PBM who had access to benefit profile and could automate what I think consumers should be doing anyway, which is look at the on-benefit price versus off benefit. Now I don't think that program has worked the way we intended. But when I read the press release from a company like Cigna, they -- it was a press release we could have written, right? And the fact that they wanted -- they're talking about bringing down consumer pricing and price transparency. That's been our mission for 1.5 decades at GoodRx. And so that's not an immediate benefit to us, but I think because their program doesn't start until 2027 and they'll phase it in. But I think over the longer term, that aligns with our core mission. I couldn't be happier that they're doing it. And I think it invigorates some of the products that we've already put out in the marketplace.
Daniel Grosslight: Yes. Yes, makes sense. And then I would love to just get a little bit more detail on how you intend to work with TrumpRx. Would it be something like a link to the GoodRx website? Would you be directly integrated with a potential TrumpRx website? There's been a lot of chatter about others like Markin's cost plus doing a similar kind of integration with TrumpRx. So I'd love to just get your thoughts on how this will actually be operationalized and how GoodRx and other lower cash pay companies could also work with TrumpRx and you guys?
Wendy Barnes: Look, first of all, I appreciate the question. You're not wrong in that I think there are a lot of stories floating around on what it is or what it isn't. I would start by saying we are in active engagement with HHS and the team that is actually building out this website, as in architects to architects, engineers to engineers, on how we integrate from an API perspective, and we intend to do so. So we will be a partner and participating in TrumpRx. But for clarity, and then backing up where I think some of the misinformation continues to circulate, is that TrumpRx is really functioning as just a repository of pricing. So think about it as reflecting the partnerships that are integrated into it and displaying said pricing. So think about it as like a Panfinder tool, but for effectively pharmacy pricing. And we believe, just given the expansive nature of the pricing that already exists through GoodRx and the 60-plus thousand pharmacies that we work with, when you think about how GoodRx will show up in that environment compared to perhaps one of the much smaller competitors that you just mentioned in your question and/or others, we feel like we're really well positioned to take advantage of whatever opportunity that presents for us. They have an ambition to launch in early January. I don't know whether they will or not. But if they do, we'll be well-positioned to take advantage whenever that goes live. I would also say that given our deep pharma relationships, they, too, even in the deals that they're striking with the administration, are then engaged with us, for the most part, suggesting that same pricing will be deep-linked to us. And in many instances, we are the conduit for that pricing for that manufacturer. That's not how all of those relationships will work. But generally speaking, if you think about TumpRx displaying a pricing, they're not a fulfillment opportunity. They're not going to function as a pharmacy. They're not going to contract directly with pharmacies. It will need to go through a third party, such as ourselves, to facilitate that cash transaction, and we believe we are really in an excellent position to take advantage of whatever this turns out to be in 2026.
Operator: Our next question comes from Lisa Gill from JPMorgan.
Lisa Gill: Wendy and Chris, sorry for that technical difficulty on my side. Wendy, I just really want to go back to the comment that you and Chris made around ISP and the evolving market around ISP, what the original intent was, your comments around how you see the PBM market evolving and changing. Do you see a new product coming to market? Do you see that you change what ISP looks like in some way? How do I think about that market and that market opportunity going forward?
Wendy Barnes: Yes. I would say the original thesis, Lisa, and the way ISP was designed to begin with, that still holds. I think the difference is PBMs are rethinking perhaps the ubiquitousness of the product itself, and how supportive they are of opening it up to their client book. I mean, as originally designed, it's precisely what PBMs are talking about today. I think there's an added difference now, of course, with more brands in the mix compared to perhaps when that product originally launched, and it was largely focused on generics only. So now you've got an even broader opportunity for brands that aren't covered, 80 of which we already have point-of-sale discounts on. And so that allows a PBM with their litany of clients to say, "Hey, even if you can't afford to cover this on benefit, you can have this wrapped in program whereby at a minimum, you're getting access to deeply discounted cash pricing and it's largely seamless at point of sale. Now, having said all of that, I still think in parallel, there is an opportunity largely because these employers, coalitions, and broader groups are coming to us saying, hey, we may have interest too, and contemplating just our own carve-out cash list, and could we perhaps do that directly with you, GoodRx. That is of interest to us. And you've heard us mention that we have been thinking through what that strategy should be. And you'll hear us outline that in more detail, Lisa, in our 2026 plan. But the short answer is, yes, that will be an and on top of ISP.
Christopher McGinnis: Lisa, I might just add, like it's an interesting question, one we could probably go on for a while about, because when you think about the nature of the PBMs, the sort of the way you framed the question, PBMs are selling this to businesses, right? They're selling it to payers who have to make a decision, the way I understood their announcement around ultimately in the out years, whether they want to opt in or out of the program, meaning whether they want to keep the rebate as a part of their broader pool of money to keep premiums down or whether they want to pass that through to their ultimate patients. For us, so that's a business decision for a payer to make. We want to participate more upstream in the Rx journey. We want to get into the physician's office. We're thinking through strategic initiatives to make this a consumer choice ultimately, right, where it's not necessarily light on. So PBMs will always be a critical partner, but we are always focused on consumer choice as opposed to payer choice.
Lisa Gill: I know you're not prepared to talk about 2026 at this point. But Chris, as we think about modeling, is there anything that we need to keep in mind from either a headwind or tailwind? If I think about Rite Aid, I would expect that you'll anniversary that as we go into 2026. Wendy has talked about the opportunity, whether it's ACA, Medicaid, less insured people. Like, just anything that we should be thinking about as we start modeling for '26?
Christopher McGinnis: Yes, you've highlighted--- We obviously have some headwinds and some revenue that occurred in 2025 that will not repeat in 2026. So we have to lap some comps, there will be a clear headwind. That's not an immaterial number when you think about ISP, when you think about more than half the year of Rite Aid being in, but look, we've got a lot of things that we're thinking through and assessing that I kind of highlighted earlier around 2026 and some of the opportunity we think it presents. Our intention is to overcome those headwinds. So I don't want to get into '26 guidance. But in terms of color, we intend to overcome the headwinds that we're faced with.
Wendy Barnes: Lisa, if I may just coming in, Chris, quickly on that. I would say the opportunity set that are the strategic initiatives that we're shaping up for '26, they're meaningful. We're purposely not outlining those here. Candidly, we're still kind of -- we're modeling what we think they're actually worth, and we want to get it right when we share that with you and others. And so for that reason, you'll hear us do that on our next call. But I'm pleased with the way the strategic list of opportunities are framing up for '26 thus far.
Operator: Our next question comes from Jailendra Singh from Truist Securities.
Jailendra Singh: So my first question is around -- you guys have talked about building capabilities to better serve HCP within your PMS business, including rolling out products similar to those already in the market. Can you update us on the progress there? Any early learnings you can share as you continue to evaluate ways to further deepen your relationship with HCP?
Wendy Barnes: Thank you for the question. You're right. Yes, we have talked a little bit about the technological capabilities that we invested in this year meaningfully to be able to set ourselves up for a strong 2026 selling season, specifically aimed at how pharma partners with and focuses on specific HCP and of course, those affiliated NTIs. I will say in the early innings, it's looking promising. You'll hear us talk about that as well when we provide '26 guidance. I would say we're well positioned to take advantage of that. And I'm thankful that the investment that we made to prepare for this '26 selling season remained on track. In fact, it was ahead of schedule such that it largely set up our manufacturer solutions team where that HCP sales arm resides to hit the ground running because obviously, this is a big setup to what the '26 selling season looks like. We're deep in RFP season as we speak. So too early for me to outline specific results. I would just tell you that we're well positioned, and I think it sits where we would have presumed we would have been per plan.
Jailendra Singh: Okay. And then my follow-up, I actually want to follow up on the timing of certain manufacturer deals you talked about, which kind of impact Q3 versus Q4. Can you elaborate on that? Is it possible to quantify the impact of this shift? Are these deals like onetime in nature? And isn't Q4 generally a seasonally stronger quarter for PMS? Just trying to better understand the messaging on Q3 versus Q4 for the PMS business.
Christopher McGinnis: Yes. I mean, look, this time of year, pharma spends up at times. And so we had some of these deals baked in and it just -- it was accelerated some of those deals. I don't want to get into the sizing it at all. I just think it's -- they're not onetime sort of revenue. I mean, typically speaking, deals come in and they're 12 months in nature. This time of year, they can be shorter duration like intra-quarter, they could cross over the quarters, that kind of stuff. So we just -- we pulled some revenue in based on the timing of the closing of the deals we just originally anticipated in Q4. It will drive manufacturing solutions up for the year. I think we said 35%. I think it will probably sneak above that level actually for the year. But other than that, Jailendra, it's just -- I think it's normal course of this kind of time of year to see some deals come in, and we don't know the exact timing when we're forecasting.
Operator: Our next question comes from John Ransom from Raymond James.
John Ransom: Just a couple for me. Your ISP partner where you've had an interruption in the relationship, should we assume that that's a permanent state of affairs? Or is there some hope that, that might be reconciled?
Wendy Barnes: Yes. I mean, I would say less of an interruption and more of them taking a multi-network approach. We still have a fine relationship and continue to see volume flow through it. I think it's a matter of them having added additional partners to that relationship. As to whether or not that narrows again, it's an interesting question. There's always a possibility for something like that to happen, but nothing that I would call out today, John.
Christopher McGinnis: I would say we're assuming for our purpose, just -- I mean, we kind of have it as status quo, and it now probably represents a little more upside than downside for us, but I don't think we'll return to it like baking in upside.
John Ransom: And just a second question. I mean, this is a very crude metric. But just looking at your marketing spend; it's still running about 40% of sales and you're spending about the same money to get a 9% decline in PTR. So how do we think about long-term customer acquisition cost, marketing spend? And how do you calibrate that relative to your revenue?
Christopher McGinnis: Yes. We -- look, from our perspective, it's very important to invest in our brand. And so, we do -- we think about the metrics that you're talking about, but they don't drive necessarily the decisions. We want to think about where it's appropriate, the effectiveness of dollars, where we spend it, the timing of it. As we launch subscription offerings, for example, we're sort of relitigating how we think about putting dollars behind that from a marketing perspective. We've got a new brand campaign out there. Unaided awareness is up across the board as we measure it. So, it's working. But when we think about the macro trends that I outlined earlier, and we -- for the most part this year, as cash has contracted as a market, we've increased market share. That's important because that's the way you take advantage of getting more than your fair share in an expanding market for 2026. So look, we believe we'll return to growth in our platform. And I think those marketing dollars as measured in any one year in a year like this, where I think we faced multiple headwinds, I'm less concerned about it. So, we just make that decision in the totality as we sort of do a multiyear planning.
Operator: [Operator Instructions] And our next question comes from Steven Valiquette from Mizuho Securities.
Steven Valiquette: I also just wanted to come back to the Manufacturer Solutions segment for a moment on the pull forward that you talked about. So, I guess as we think about 2026, the quarterly cadence for that segment and the normal seasonality, should we assume for now then that the revenues would just increase sequentially every quarter throughout the calendar year? And then if there's a pull forward next year, we just focus on that if that happens. But -- so what's the normal pattern when thinking about 2026? If you can provide any color on that, that would be helpful.
Christopher McGinnis: Yes. Look, I mean, I think generally speaking, the trend is up as those sales close throughout the year. And just to be clear, when I -- when we talk about sequential revenue coming down, it's more total revenue. I'm not talking specifically about manufacturing solutions, just to be clear about that. So -- but look, it can be a little lumpy in terms of when and how those deals close, right? We're looking to go deeper into existing manufacturer relationships. We're looking to add new ones. We track a traditional sales pipeline with a funnel. We estimate probability of close, timing of close, and those don't always happen exactly as we forecast them. But generally speaking, we think it's growth. This is a growth engine for us. I think it will continue to be manufacturer solutions, that is. I think it will continue to be an increasing part of our revenue. So I anticipate it continuing to grow.
Operator: Our next question comes from Stan Berenshteyn from Wells Fargo.
Stanislav Berenshteyn: On Manufacturing Solutions, you called out the point-of-sale discount programs as being contributors here. I'm just curious, what percent of the growth that we saw in the quarter can be ascribed to the point of sale? And can you maybe give us some examples of what those at-the-counter promotions or customer interactions look like?
Christopher McGinnis: We don't, I mean, I appreciate the question, Stan. We don't break out like the percentage of growth between sort of the media side and the point-of-sale side, and some of the other revenue streams within pharma manufacturers. So we have over 80 deals that drive the revenue there. So for us, it's more a reflection of expanding deeper into the portfolio of drugs with our existing partners and then adding more manufacturers to the mix, which we continue to do. And then look, I think as we talked about, while we don't really know how TrumpRx will play out, when I listen to [ Dr. Oz ] was interviewed on TV over the last 72 hours talking about exactly what Wendy said and reaffirming what we're being told in our discussions with the government, which is they intend to link out to the lowest cost available. And we think we're well-positioned to be that provider. And look, consumers have near complete access to their medicine cabinet through us, so I think that positions us well. And I think TrumpRx will continue to be a tailwind for manufacturer solutions as well.
Wendy Barnes: And if I may add, I will also say it's providing momentum for manufacturers who may be, while they may have had interest in point-of-sale conversations, it's giving them, I think, a little bit more energy around, oh gosh, well, maybe now is the time for us to do this. And it's providing, I think, some momentum to move some deals and negotiations along a bit faster between us and manufacturer partners as well. And just more on the tactical end of this, as you think about the mix that is all of the pharma affordability programs, of which a component, of course, are the brand point-of-sale deals, some of the ones notably that are contributing to our growth include our partnership with Novo around Ozempic and Wegovy. I mean, that is no small feat, given that it is the most competitive cash price on Ozempic. And we just recently announced a partnership with Amgen around Repatha. And that retail price is considerably less expensive than the historical price point. So again, we are seeing that mix certainly shift and pointing towards point-of-sale deals, but we continue to have interest in all of the affordability programs, provided they improve access and affordability across the board for our shared consumers.
Operator: Our next question comes from Kevin Caliendo from UBS.
Unknown Analyst: This is [ Jack Sem ] on for Kevin. In your prepared remarks, you mentioned that GoodRx search volumes are up across the board. Is this coming from one particular initiative or advertising campaign? And kind of curious how these search volumes have trended over the past few months since the launch? And then if you can just discuss, like any conversion rates or anything like that, that would be very helpful.
Christopher McGinnis: Yes. I mean, Jack, we've seen with our new campaign that unawaited awareness is up, access is up. I'd love to make sure I answer your question. I'm not sure I can get you. Like, I can follow up with you on the data. I don't have a lot more data from a marketing perspective at my fingertips, but I'm happy to sort of give you the right information in terms of what you're asking. And if you want to clarify exactly what you're looking for, Jack, I'm happy to see if I can address it more accurately.
Unknown Analyst: Yes, that's okay. I was just more curious about how those search trends have kind of trended just over the past few months. You don't have to go into too much detail on that, so I appreciate it.
Christopher McGinnis: Yes. We're really tracking it. And just to be clear, like it's coinciding with the launch of our new overall brand campaign, right? And so some of the metrics that were key to us that we sort of set out upfront, while we're meeting and exceeding the benchmarks that we had planned for in those campaigns. This goes back to the earlier point about our advertising dollar. The one thing we want to ensure ourselves is that we're spending those dollars effectively and we're driving the right eyeballs. These are very important statistics for us as we go back to manufacturers and show them and demonstrate that we are the right platform to get eyeballs on their portfolio of drugs. And so it's why we spend what we spend, and right now, the campaigns seem to be working.
Operator: Our next question comes from Craig Hettenbach from Morgan Stanley.
Craig Hettenbach: Just staying on Manufacturing Solutions and understanding you already have some nice momentum in that market. When I look more broadly, you have a very high gross margin, and, high EBIT margin business. Are there opportunities to reinvest more of that into driving even further growth in manufacturing? How do you think about just kind of reinvestment in the business here?
Christopher McGinnis: Yes. I mean, look, the one thing I would say, obviously, we don't break out margin specific to Manufacturing Solutions versus PTR. But look, the business has been growing and our margins have been expanding, right? So I think you can have an implied there. In terms of investment, as Wendy noted, I mean, we've made specific investments into capabilities like directed media at the NPI level, which is, I think, the important thing to do. We are actually investing in capabilities to own more of the Rx journey, which is ACP-type initiatives and accessing HCPs, and kind of engaging them and influencing decisions at the point of the clinical encounter. And then obviously, from there, obviously, engaging with the consumer on pricing, transparency, affordability programs, pharmacy choice, and all of the above. So the answer across the board is yes. We continue to pursue initiatives and reinvest in the right initiatives that we think will drive Mantol's growth.
Wendy Barnes: I would say, though, in balancing that as an executive leadership team, we do spend considerable time on how we balance reinvestment with also being good stewards of overall dollars. And you will continue to see us try and keep a healthy balance there, such that we're balancing SG&A with the appropriate bottom line outcome. It's an incredibly important component to both Chris and I that the cost where it's added needs to drive favorable returns. So it's a balance we're striking, but I very much appreciate the question.
Operator: Our next question comes from Brian Tanquilut from Jefferies.
Brian Tanquilut: Maybe just to take the other side of the ISP question. As we think about the Rite Aid headwinds, I mean, a matter of anniversarying it? Or are there initiatives that you're rolling out to try to drive that recovery quicker?
Christopher McGinnis: Yes. I mean, we obviously target recapture. It's not an exact science at times, right? Where we've got data on the actual consumer and there's contactability, we obviously are doing outreach. It is one of the reasons you've seen us increase our overall brand awareness because, one of the things we believe is the good thing about our business, unlike many other aspects of the sort of, I guess, all of the medical or health ecosystem, is our consumers actually choose to do business with us, right? And so they've come to our platform looking for access and affordability to their medication. And when they choose a pharmacy, that stays on file. If they get ported over to somebody, it's not clear that they are even aware that they may have come off the GoodRx platform. And so the idea of making sure that they come back and recheck for affordability, I think, is important. And look, we will continue to invest in initiatives, as I just talked about in terms of owning the Rx journey and e-commerce solutions, and other ways to get people fully committed and have sort of a durable relationship with those patients. But the sort of long and short answer to your question is, yes, we will always seek to recapture that volume as soon as possible.
Wendy Barnes: Yes. And if I may add, I mean, the counter initiatives that we've continued to talk about, that is largely your answer, right? When we contract directly with the retailer to own that counter, and particularly when e-commerce is a component of it, that's largely where we invest. And in many instances, we are actually spending marketing dollars through those same retailers to ensure that we are not only capturing the attention, but then we're retaining that same consumer at that counter. And that's how you offset instances of a Rite Aid closure and the manner in which you just outlined that question. That's how you go about doing that strategically, in my view.
Operator: That concludes the question-and-answer session, and this concludes today's conference call. Thank you for joining. You may now disconnect.